Operator: Greetings and welcome to the SailPoint Technologies Holdings Second Quarter 2020 Earnings Conference Call.  As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Mr. Josh Harding, Vice President of Financial Planning, Analysis and Investor Relations for SailPoint Technology. Thank you. You may begin.
Josh Harding: Good afternoon, and thank you for joining us today to discuss SailPoint's second quarter financial results. Joining me today are SailPoint's CEO and Co-Founder, Mark McClain; and our Chief Financial Officer, Jason Ream. Please note that today's call will include forward-looking statements. And because these statements are based on the company's current intent, expectations and projections, they are not guarantees of future performance, and a variety of factors could cause actual results to differ materially.
Mark McClain: Thanks, Josh, and thanks to each of you for joining the call today. I'm very pleased to share our strong second quarter results with you this afternoon. The SailPoint team executed extremely well with strong performance across all 3 geographies, spanning both our SaaS and license business. Total revenue for the second quarter was approximately $92 million, representing 47% growth year-on-year. We are extremely pleased with our financial results in the quarter, which reflect broad-based adoption of the SailPoint platform and highlight the increasing criticality of our identity platform to today's distributed digital enterprise. Our second quarter results also benefited from a couple of additional factors. First, we closed more large deals than is typical in a quarter. This included some of the largest deals we have ever signed. And second, we closed some additional deals that had slipped out of the first quarter due to uncertainty around COVID-19 in late March. As you know, large deals are always a part of our business and somewhat unpredictable quarter-to-quarter. And I would also note that we saw a very strong SaaS adoption in the second quarter, making it a solid quarter across the board. We believe our performance demonstrates that identity is increasingly being recognized by CIOs and CISOs as a significant piece of their digital transformation plan. In fact, we believe this has led many organizations to consider identity to be business essential and a key investment priority. As an example, a leading airline turned to SailPoint early in the quarter to automate their identity program. They chose to prioritize their investment in identity at a time when their industry was among one of the most heavily impacted by the pandemic. This clearly highlights how identity has become a critical part of the technology foundation businesses need to secure today's modern workforce. As I noted earlier, we were very pleased with the rate of adoption of our SaaS platform this quarter. We believe this is due to increasing customer interest and comfort in deploying their identity program in the cloud. In particular, we were pleased to see increased adoption among larger enterprises this quarter. For example, a large manufacturing company turned to SailPoint as part of their digital transformation efforts, shifting the majority of their business to the cloud, including their identity governance solution. They chose our SaaS identity platform to help them govern their 65,000 users in an efficient, simplified way while removing the burden from the IT for managing software updates and upgrades.
Jason Ream: Thank you, Mark, and thank you to everyone on the line for joining us today. I will review our second quarter results and then update you on our expectations for the remainder of 2020. As Mark mentioned earlier, we're very pleased with our performance in the second quarter and our momentum in the market. Total revenue for the first quarter was $92.5 million, a 47% increase over Q2 of 2019. These results were driven by strong bookings throughout the quarter along every metric that we watch. Obviously, revenue upside in the quarter is primarily in license, which for us comes primarily from sales of IdentityIQ. We booked several large IdentityIQ deals in the quarter, and some of those were amongst our largest deals ever. While most of the license outperformance was driven by term licenses that are effectively subscriptions, just like our SaaS and maintenance contracts, under 606 accounting, as you're probably aware, a lot of the term license contract value gets recognized upfront as license revenue. We also outperformed on SaaS bookings, driven primarily by our SaaS first focus with IdentityNow and by sales of our AI offerings to both IdentityNow and IdentityIQ customers. And for both our SaaS and on-prem offerings, we saw good results across both sales to new logo customers and sales to existing customers. Subscription revenue increased 36% year-over-year to $45.9 million or 50% of total revenue in the quarter. We continue to expect subscription revenue to be more than half of our total revenue going forward though there can be some quarter-to-quarter variation if we have a particularly strong license revenue quarter. Our renewal rates remain strong across both maintenance and SaaS, although we did see some impact, which we believe is attributable to COVID-19 during the quarter. We believe that most of the impact is due to timing of renewals with companies, especially those impacted hardest by the current situation, trying to maintain as much flexibility as they can. We'll be managing this very closely as we all make our way through this situation.
Operator:  Our first question comes from the line of Matt Hedberg with RBC Capital Markets.
Matt Hedberg: This is actually Matt Swanson on for Matt. Congratulations on the quarter, guys. Jason, if I could start with you. So you're bringing back guidance for the quarter of the year, obviously, very strong results. Can you give us a little more detail on how you feel visibility has changed since the time when we were reporting Q1? And then just kind of the level of uncertainty or conservativeness that you're still taking towards the macro when you're thinking through the rest of the year?
Jason Ream: Yes. Thanks, Matt. I think probably the best way to say it is that there's still a lot of uncertainty about the world, but that we've seen a fair amount of consistency in our execution over the last 3 or 4 months. And I think when we were here 3 months ago and the COVID situation had just sort of rolled out over the past 6 to 8 weeks or the previous 6 to 8 weeks, we just hadn't had enough history of execution under our belt since that development to say we know what -- we feel comfortable predicting what's going to happen. Today, we've had 3 months of Q2 and a month of Q3 to see how things are going and feel pretty good about the trend that we're seeing. So -- which isn't to say there isn't a lot of uncertainty going forward. And there's always the possibility that something dramatically changes in the world that affects us or affects the entire world, right? But right now, we're sort of looking at our own execution and saying that, okay, that seems to be on a more predictable path and feel comfortable than putting a stake in the ground and saying here's what we'll do for the rest of the year.
Matt Hedberg: Yes. That's really helpful. And then, Mark, it was really great to hear about all the large deals in the quarter. Could you talk just a little bit more about what drove companies to close deals in this environment of that size? I know you mentioned some legacy displacement. Is there any sense that maybe some of the pain points of those solutions are maybe more painful in this environment?
Mark McClain: Matt, it's a good question. Keep in mind that as you'd expect, we always talk about our sales cycle being 6 to 12 months. And obviously, sometimes that correlates and generally does with larger deals. I think some of what we talked about is in terms of the general demand trends, feeling like they've increased in this environment, people having a higher level of awareness certainly helped to make sure those deals got through the cycle and completed on this general sense of timing we thought we'd see. I can't say that there is something -- certainly, those were not deals of those -- that scale that started post-COVID, right? Those were deals that we had been working on. But I do think that the heightened awareness of the importance of identity and governance in this context certainly ensured those deals would kind of hold their value and get done in a timely fashion. And that's generally 2 of the large deals we saw this quarter, there were just a handful of particularly large ones that we focused on in the release.
Operator: Our next question comes from the line of Brent Thill with Jefferies.
Unidentified Analyst: This is Jule on for Brent. You guys latently called out Predictive Identity for the strength in the quarter in the press release. Can you just talk qualitatively about what the contribution was? Or any metrics there to kind of help us gauge the underlying strength from that product?
Mark McClain: Yes. This is Mark. I'll take that one. And just to be clear, predictive is not a single product, and I apologize, we have had some confusion talking about in the past. It's really an approach. It does get instantiated in a couple of core AI-related products, but it's really an approach that's using AI and machine learning across our entire product line to deliver more automation, more visibility shift, more of the work away from repetitive things and onto things that take some real thought and policy and strategy from the professionals in our company organization. So it's really that. There's no like line item associated with predictive, we talked about some nice momentum with a couple of the products that are in that particular focused family like cloud access covenants -- cloud access management, excuse me. But I think in general, what we're seeing is just that, that AI machine learning approach is very much resonating in that idea of using intelligence to get more predictive to stay in front of the curve that feel behind the curve in our customer organizations, is definitely resonating.
Unidentified Analyst: All right. I appreciate that clarification. And then just as a follow-up, we're pretty much lapping some of the structural changes you guys made last year with management and sales possible. Is there anything left to do there? And then you called out higher expenses in the second half. Maybe you could just parse out kind of where some of those investments are. I mean, we would be investing in too if we put up results like you did this quarter. So any color there would be helpful.
Mark McClain: Jason, why don't you -- we're in separate places, I'm sure everybody knows in today's context. Jason, why don't you take the investment piece, and I'll just kind of come back to a follow-up from a year ago.
Jason Ream: Yes, sure. So thanks, . The investment, I think there's 2 ways to look at it. One is, obviously, with higher expectations for the year than we started off with. We're putting a higher bonus accrual than we otherwise would have had, and that's raising our expense forecast for the second half of the year. But in terms of investing in the business, which is the larger part of it, it's going to sort of where we started the year talking about our investment priorities, which is into our engineering organization, primarily focused on our SaaS products, as you would expect, and into our go-to-market capabilities and capacity.
Operator: Our next question comes from the line of Hamza Fodderwala with Morgan Stanley.
Hamza Fodderwala: So clearly, you're seeing strong results with the SaaS products, particularly in this environment. I'm wondering how you see that mix is accelerating, particularly in this environment. And what are some of the limiting factors in terms of making a full transition to more SaaS subscription delivery. And are there any metrics that we should, in particular, be focusing on to really track the progress towards the SaaS product?
Jason Ream: Mark, do you want to talk about the product side of things, and then I'll talk about the numbers?
Mark McClain: Yes, fair point. And by the way, if you guys don't mind, I apologize, I had a mute fail. I started to answer the second half of that question, but I was on mute. And so we moved to the next question. Let me come back to the former one really quickly, if you guys don't mind, on the year ago thing. Just to pick up the back end of that other question, yes, I'd say that we saw some execution issues around demand gen that we called out and things like that and obviously, put a lot of work into that, had actually started working on it at the time of that call. And as you all saw some pretty good results for the following few quarters and then very strong results this quarter. So I'd say, yes, in general, we feel like we have tuned up both the targeting and messaging and our demand and processes. And to the correct and best prospects and also tuned up a lot of the field execution once customers become a really valid prospect and moving that opportunity through the pipeline to closure. So I apologize for the mute fail. Okay. Back to this question and SaaS. I'd say we are seeing increasingly high levels of interest not only in the place where we've been strong with SaaS for the last few years, which is kind of in that mid-enterprise segment primarily. Again, we always say there are exceptions where smaller companies than you might think, will choose our software offering IdentityIQ and larger companies than you might think would choose our SaaS offering. What we have seen is an increasing level of interest from the mid to higher ends of the customer range for the SaaS product. And really, I think it's fairly simple, we're boiling down to both the increased capabilities and functional coverage, use case coverage in the product and an increasing comfort level with SaaS in those larger companies for this product area. We tried to highlight each quarter, I think, now that we certainly understand that many large organizations have been comfortable with SaaS products for quite some time, but there was definitely some hesitancy in the larger enterprise customers that we talked to about using SaaS products for governance. That seems to be dissipating some now. And we are seeing the interest and the ability of the product to meet those needs. So we feel good about both of those things. Last thing I'll say before I turn it to Jason is to keep in mind, we're going to see SaaS performance at some point, both from the platform choice customers make, meaning IdentityNow as opposed to IdentityIQ, both are still performing well. But we will also see SaaS revenue from these newer and we think quite exciting modules around Predictive Identity capabilities, as we said, that's not one product, but a number of products that kind of fulfill that vision. And so all of those offerings today are coming as SaaS offerings. So we get SaaS performance into both our IdentityIQ and IdentityNow core customer bases as well as new customers choosing IdentityNow as a core platform. Sorry, that's plenty of background, I'm sure for Jason to run at the financials.
Jason Ream: Yes. In terms of pace of the transition, Hamza, I wouldn't say anything different than what we said before. We're leaning into it this year. It is sort of the direction the market is going and the direction our product capabilities are going. I don't know that the current environment has changed that any. As we've said before, SaaS has a lot of advantages, both to customers and to us as a vendor. But for all practical purposes, on-prem software, for the most part, is now deployed in AWS or Azure, wherever it might be. And so I don't know if the current environment has made that much of a difference there. In terms of metrics and ways you can get a handle on that, look, obviously, you can look at the license side of things, and we did have a big license quarter in Q2. And as I mentioned in the script, part of that is some perpetual license that booked, part of it was term license. But as you probably know, 606 accounting requires us to take a fair amount of that upfront. And the way our income statement lays out, that shows up in license. But you can still see sort of how much of the business is going there to perpetual license. In terms of specifically breaking out SaaS from the larger subscription line that we have, it's not something we're doing now. Obviously, that's something people have asked about, and it's definitely on our radar as potentially one of the next metrics to come out for us, but more on that to come in the near future.
Operator: Our next question comes from the line of Brian Essex with Goldman Sachs.
Brian Essex: Congrats on the results. Just wanted to ask about IdentityIQ versus IdentityNow. And from the perspective of -- obviously, there are certain customers out there. They're not going to be multi-tenant customers. And I was wondering how did that strength play out for IdentityIQ in the quarter? And is there a way, whether -- or I guess, billing methodology, notwithstanding, but delivery methodology to kind of migrate those customers on the SaaS? It just sounds like in the quarter, you just had some anomalous customers that were just die hard from the perspective of not wanting to go multi-tenant, but just wondering what the outlook was there for deals, particularly on the large deal front?
Mark McClain: Jason, I'll start, Brian. I think I understand the question, By the way, I didn't get it quite right. But I think what you're asking is, are we going to continue to see larger organizations go with the software offering, single tenant. By the way, Brian, we've commented on this before, these days, it's quite unusual for someone to buy our single-tenant software solution and deploy it themselves as opposed to quite often, they will put it into a private or public cloud. I would like to say, from a customer standpoint, that's a cloud app, right, because it's going into their cloud, from our standpoint, not SaaS, right? But it is a cloud offering to the customer. And I think it's still generally, Brian, the case where most of the customers that are leaning still toward IdentityIQ. And we don't discourage that in any way because it does have a very rich set of use case coverages and the ability to be, frankly, more flexible for the very complex environments that are typical of very large enterprises. Sometimes there are smaller enterprises that still lean that way, but that's less common. I will comment on something you may not have exactly been asking, but I would address it, which is we're not really seeing much movement, nor are we encouraging that movement of transitioning from IQ to IdentityNow, meaning customers who have IdentityIQ and have deployed it recently and even further back, for the most part, aren't feeling any compulsion to move to SaaS. They still have -- most of those customers don't have lots of non-SaaS in their environment, and they're looking at which of those kinds of products to move towards SaaS. But we aren't feeling much pressure nor are we encouraging those customers who have IdentityIQ to move towards SaaS. But as we approach new customers today, we certainly wanted customers to understand the breadth and capabilities of IdentityNow to be ensure that they are comfortable that it probably can meet their needs up to probably, again, some of the largest, most complex shops on the planet are still probably not quite a great fit yet right now.
Brian Essex: Got it. Okay. Yes. I mean, I guess what I was getting to is also the fact that, I guess, coming into this year, you guided down 5% to 8% on the license revenue side. It probably can't help but be positive now. And maybe just to tail onto that, how much of this was legacy displacement? And do you have a good kind of road map of the potential for legacy displacement, particularly given that some of the larger legacy vendors out there seems to be quite a substantial pain point in this environment?
Mark McClain: Yes. Jason, maybe I'll take the first part on just that topic the legacy displacement, if you want to talk about kind of the change potentially in our original outlook for license over the year. Brian, on the legacy displacement, one thought to keep in mind is it quite typically, I mean, there are exceptions, but quite typically, in a Fortune 10,000, the larger enterprises, we are almost always displacing some portion of the product line. There's some legacy footprint there. It can be very wide and very deep. It can be fairly not. But we're generally in that mode. In terms of -- is there a lot left to do there is, and I think one of the things we've been commenting on since we announced it a year ago, is that the Predictive Identity vision does seem to unlock some of the folks that were not terribly satisfied with their legacy offering, but not necessarily feeling a compulsion to move off of it because I think they thought, "Oh, sure, some point looks better, but it's still kind of a better version of the same thing I've got." That was probably our fault. We're not positioning it quite as well. But right now, they're seeing some things that we're doing with AI and ML and saying, "Oh, that is quite different than what I've got." And that is more compelling a reason to move. And I'd say the other side of it for these legacy displacements is the customer environment continues to evolve and change more mobile, more cloud, more of that. And those legacy solutions are just so adapting to those new things that, that puts increased pressure on those customers to get off of those legacy solutions as the environment keeps becoming more cloudy, more SaaS-y, all that stuff. So it's probably both of those factors. And you have it on the -- yes, the license conversation.
Jason Ream: Yes. And our original guidance back in February was for license to decline for the year. Obviously, the current guidance -- well, not obviously, but you pointed out, we expect it to be an increase year-over-year. Look, I'd say that's a bit of an anomaly. As we've sort of called out in the script, it's hard to predict some of those big deals. And when they do go with IdentityIQ, and that ends up being recognized as license, it can throw things off a little bit. Over time, I expect that to decline, and we don't know yet exactly how long that decline period will be, but the business is shifting to SaaS and subscription over time, for sure.
Operator: Our next question comes from the line of Walter Pritchard with Citi.
Unidentified Analyst: This is actually Drew Foster on for Walter. First one is for Mark, and you partially answered the first part of this question. But you started the year out with a prediction that you see a significant step-up in interest in the IdentityNow, so SaaS solutions for larger enterprises. And sounds like that was generally the case in Q2. The first part of the question was whether you've done anything to help incentivize that behavior. It doesn't sound like you have, but can you remind us when those 2 platforms will be more at parity and whether we should expect at some point in the future for the SaaS solution to surpass the IdentityIQ platform and sort of help naturally lead people towards IdentityNow or conversely, why you won't pursue that strategy?
Mark McClain: Yes, let me take that on, Drew. I think we tend to talk not so much about feature parity, the kind of functional coverage and use case coverage because what we find is, as the world has continued to evolve, remember, IQ was first developed over a decade ago, the expectation of what the product should be able to do and the customizability of that product have changed in the customer's mind. I think that's been the general trend as SaaS become more prevalent. Customers are now making more trade-offs than they were a decade ago on how much flex and customizability I get with a software on-prem product, but I have to patch it and maintain it and have all the hardware to run it versus I might get somewhat less flexibility from a SaaS product. I should still get a lot of ability to adapt it, right? I mean great SaaS products are well-designed to adapt and have configurability. Well, that's what we're finding is people are getting more comfortable with that. And so we are going to necessarily put everything into IdentityNow that was in IdentityIQ because we don't feel the market driving us to do that. That said, I think we feel like by the early part of '21, it will be less likely that a customer would say there's just -- I just can't get the job that I need to do done with IdentityNow. There will be, we think, well into next year and beyond, some set of customers for whom that will be the right answer for reasons of maybe their view of their need to customize more work to their product environment or whatever. But I think we tended to say that through most of this year and early next, we are closing the gap as the customers would perceive a gap, but we're not necessarily shooting for whole parity per se. And I think the other thought is that we are also putting some significant effort into opening up the IdentityNow SaaS platform to make it easier to connect with the rest of the customer. We hadn't -- it wasn't closed before. We just put more energy into exposing APIs and putting into place a kind of a developer program to make it easier for customers and other vendors to tie into that. So as all that's happening, I think that's also getting people's comfort level up at moving forward. So we don't think of it as full feature parity kind of discussion, but a coverage of the use cases that the customers care about. And the other side of this, their definition of what they care about continues to morph a bit as well. So it's really both of those factors.
Unidentified Analyst: Really helpful color. Jason, just have one follow-up on the guide. I want to make sure we're clear on the moving pieces there. The upside, at least to us, what we were thinking seems more concentrated to Q3 versus the implied Q4. So kind of sounds -- and you did add some color here, but it sounds like potentially another strong license quarter. And just wondering if you can provide us with any other information about the complexion of the pipeline right now in terms of mix, large deals or seasonality potentially impacting that Q3 guide and anything else that impacts there?
Jason Ream: Yes. I mean, look, Q3 and Q4 are typically large quarters for us and for a lot of enterprise software companies. And tend to get larger deals during those quarters than we do during the rest of the year, typically. And so given that -- as we just talked about, the functionality is not -- we're not quite at the same coverage with IdentityNow. A lot of those deals may end up going towards IdentityIQ. That being said, the pipeline has shifted over the course of the year as we expected but shifted very positively towards SaaS and towards IdentityNow. We've seen a clear demonstration of that as we've gone sort of in this year and made our way through. So we'll see how that plays out over the course of the next couple of quarters. I think we're still, obviously, as you know, we don't have a quick sales cycle, right, typically 9 months on average. And so it does take some time for some of that stuff to work through the pipeline. But we've definitely seen a shift.
Operator:  Our next question comes from the line of Andrew Nowinski with D.A. Davidson.
Andrew Nowinski: Congrats on an amazing quarter. Just a few questions for you. So maybe first, as we head into the fiscal year end for the federal government, just wondering how you're feeling about the U.S. federal pipeline. And are the agencies that you sell into more skewed to IdentityIQ or IdentityNow?
Jason Ream: Mark, do you want me to start there?
Mark McClain: Jason, you want to take that one? Yes. Why don't you start on that one, yes?
Jason Ream: Yes. Look, the Fed has always been a good market for us and continues to be so. I would say we typically do a little bit more IdentityIQ there than we do IdentityNow. But there's a mix, certainly, across the number of different customers that we work with within the Fed. So that continues to be a good opportunity for us. And I think we could certainly see that shift over time, but we're feeling good about that market currently.
Andrew Nowinski: That's great. And then just as a follow-up, I was wondering if you could put a finer point on the competitive landscape. I know you mentioned that AI or artificial intelligence would potentially loosen up the CA and Oracle installed bases. But I'm wondering if you're actually -- are you seeing more gains from one or the other? Or I guess, perhaps both? And then whether you're seeing vendors like Okta potentially moving into the space with their life cycle management solution.
Mark McClain: Okay, Andy. Yes, I think on the former, we continue to see a good cadence of activity around displacements of the legacy vendors, as we said earlier. I'd say that we're pricing a little bit of uptick in interest and activity there. I can't point to a necessarily bigger result that we'll see in a particular quarter or something. But I'd say that the cadence is still there and might have picked up a bit. There's a couple of large global systems integrators that are working with us on some legacy displacement programs where they see opportunity to go in and then convert those customers to a more modern platform that helps them move into the future. So I'd say still good momentum there, not a need of a curve change, tipping point kind of a change, but just continued good progression that probably has picked up a little, I'd say. Then on the other side on the Okta side. We really aren't seeing them much. I know they've made more of a move into the life cycle management space. And again, we still feel like the bulk of their market presence is in the mid to low end of the market. And so since we don't focus as much there, we just don't see this much -- the capabilities, I think, they have today are not as rich and as deep as ours, and therefore -- and while we're focused on those mid to high end parts of the market, we seem to generally be in a competitive situation with other vendors who are seeing is also having kind of robust enterprise-grade solutions for that part of the market. So not seeing a lot there. Certainly hearing some of the commentary in the marketplace, but in terms of the actual field, not seen a lot there yet.
Operator: Our next question comes from the line of Rob Owens with Piper Sandler.
Unidentified Analyst: This is Ben Schmidt on for Rob. Quick one. Just wanted to get a little bit more color on the investment in go-to-market that's coming up. Is there geographic focus? Is it primarily reps? Or will we see more of these developer programs and the efforts that Mark was talking about to connect with the customers?
Jason Ream: Yes, I'll start with that, Mark. Good question, Ben. It's primarily on classic go-to-market capacity. In other words, reps sort of being the sort of the lion's share of that. Although the go-to-market capability doesn't just mean rep. I mean it includes the PSCs and sales management and all sorts of other stuff. So -- but look, reps are the biggest piece of that. So I think that's the way to think about where it's focused. In terms of geographies, no, nothing in particular to call out there. We are in many places around the world at this point. There are times when we add a little bit of capability here and there. But I wouldn't say there's a big strategic thrust from a geographic perspective for the second half of the year. Really, just I think it was Brian who said earlier, with a quarter like this, I don't want to actually pin it on one quarter. I think we've felt for a long time that we have a huge opportunity in front of us. And this quarter is a nice proof point of that, obviously. But there's a sort of -- when we think about what we think we can do as a business in 2021, what we can -- think we can do in 2022 and beyond, we've got a lot more capacity to build to be able to deliver on that, so we're getting going.
Operator: Our next question comes from the line of Joshua Tilton with Berenberg.
Joshua Tilton: I just wanted to clarify an earlier comment. So you initially guided the license revenue to decline for the year. But you also reminded us of the 6- to 12-month sales cycle. So were some of the larger deals from this quarter initially supposed to close at SaaS and then they were switched back to on-prem later in the sales cycle?
Mark McClain: Yes. Josh, good question. And the answer is no. I think what we saw this quarter was just a higher close rate than we normally would have expected. We actually -- we didn't even have a lot of pull-in from future quarters. Most of the deals that closed were always sort of thought to close in Q2. We just closed a lot more of them than we normally do at a much higher close rate. And no, there was not any sort of pivot from customers thinking that they would buy it and now -- or us thinking that they would buy it as any now and then ending up with IdentityIQ. We just ended up closing more deals than we thought we would. Good problem to have, obviously.
Joshua Tilton: Yes, I agree. No, that was helpful. And then obviously, SaaS was strong. You mentioned it was strong in your prepared remarks, but was it strong across the board? Or did you see a dynamic where maybe there was some weakness in the end market, but it was made up by larger enterprises just opting for SaaS in this quarter?
Jason Ream: Mark, do you want to take that?
Mark McClain: Yes, I'll jump in, Jason, if you have any comments, too. No, Josh, I would say we didn't see any weakness down market, again, because we're not targeting much way down market and down market we have to define, right? I think for us, generally, when we're going down below at 2,000- or 3,000-person enterprise. We do go below that kind of a line some, but it generally is in a fairly IT-intense industry, typically, well-known to the folks on this call, right? Financial services kind of firms, even 1,000-person firms can have pretty complex environments and being regulated and some of those are public. So that can be a kind of a shop that still makes sense for us for sure. But in general, no, we didn't see any shift upmarket per se in IBM. We're just -- what we're noting, I think, is that IBM is continuing to do well in the part of the middle, upper-middle market we've targeted and probably reaching up into some larger enterprises that people might have not expected it to serve. But in general, no, I wouldn't say there was any sort of, "Oh, we did well up in the mid-enterprise and not -- well, down in the enterprise, we're just not targeting that smaller enterprise customer in general other than in some targeted industries.
Operator: Ladies and gentlemen, that concludes our question-and-answer session. I'll turn the floor back to Mr. McClain for any final comments.
Mark McClain: Thank you. And again, I would just thank everyone for joining us today. And also I would, again, be remiss if I didn't throw a shout-out to our team. As many of you know, these are somewhat trying times in which to operate in general and people spun into working-from-home mode all around the globe. And I'm just very, very proud of our team for the way they work hard to stay on track and deliver not just kind of good results but great results in the face of some of these challenges. So kudos to the team and all of our partners, without whom we could not achieve these kind of results. So we're feeling very good about the momentum. As you've heard us say today, we're thankful for everybody's efforts, and we will look forward to continuing the dialogue with all of you. Thanks for joining us today.
Operator: Thank you. This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.